Operator: Good day, and welcome to the Ever-Glory International Group First Quarter 2021 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Wilson Bow. Please go ahead.
Wilson Bow: Thank you, operator. Hello, everyone and welcome to Ever-Glory International Group's first quarter 2021 earnings conference call. The company distributed its earnings press release earlier today via Newswire Services. You can also download it from Ever-Glory’s website at www.everglorygroup.com, in one word. With us today is Ever-Glory’s Chief Financial Officer, Mr. Jiansong Wang. And Mr. Yihua Kang, Ever-Glory’s Chairman, President and Chief Executive Officer, today is on a business trip and he’s unable to join the call. So Mr. Wang will read the prepared remarks on behalf of Mr. Kang.
Jiansong Wang: Thank you, Wilson. Good morning to those in the U.S. and good evening to those participants in Asia. Thank you for joining our first quarter 2021 earnings conference call. We are very pleased to announce the 2021 first quarter results with 21.4% quarter-on-quarter increase in total sales. Notably, we achieved a quarter-on-quarter improvement in gross margin of 39.9%. On retail side, our brands continue to attract new customers and retain existing customers by focusing on design, quality, and value. Our inventory management strategy continually improved the balance between inventory turnover and our diligent cost control measures further strengthening the profitability of our business. We’ve re-modeled or relocated two stores during the first quarter 2021. As of March 31, 2021, we operated a nationwide network of 921 stores compared with 1,038 stores as of March 31, 2020. During 2021, we completed with  of La Go Go, the effect of the feasibility will enhance our broad interest. While we still see strong demand for our products at our retail stores, we continue to see opportunities in the e-commerce areas. Mobile platforms, such as our La Go Go stores on Tmall and Dangdang are used as a strategic and effective way for us to drive customer engagement. Encourage cross-channel shopping, reduce out-of-season inventory and created a unique and differentiated customer experience to grow our loyal customer base. The company’s wholesale business is still affected by COVID-19 and the pressure of the economic downturn, where we actively respond to the changes in the internal economic – external economic environment.
Wilson Bow: Thank you operator.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.
Q - :